Operator: Good day, and welcome to the National CineMedia, Inc. Fourth Quarter 2024 Earnings Conference Call. All participants will be in a listen-only mode. After today's presentation, there will be an opportunity to ask questions. To ask a question, you may press star then one on your touch-tone phone. And to withdraw your question, please press star then two. Please note this event is being recorded. I would now like to turn the conference over to Chan Park, Vice President of Finance. Please go ahead.
Chan Park: Thank you, Operator. Good afternoon. I'm joined today by our Chief Executive Officer, Tom Lesinski, and our Chief Financial Officer, Ronnie Ng. I would like to remind our listeners that this conference call contains forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 as amended, and Section 21E of the Securities Exchange Act of 1934 as amended. All statements other than statements of historical facts communicated during this conference call may constitute forward-looking statements. These forward-looking statements involve risks and uncertainty. Important factors that can cause actual results to differ materially from the company's expectations are disclosed in the risk factors contained in the company's filings with the SEC. All forward-looking statements are expressly qualified in their entirety by such factors. Further, our discussion today includes some non-GAAP measures. In accordance with Regulation G, we have reconciled these amounts back to the closest GAAP basis measurement. These reconciliations can be found at the end of today's earnings release or on the Investor Relations page of our website at ncm.com. Today, we will be discussing NCM LLC's operating results as they relate to the fourth quarter and full year of 2024, which are largely similar to National CineMedia, Inc. results. We're reporting NCM LLC's operating results to provide an accurate comparison to the fourth quarter and full year of 2023, when we also reported NCM LLC's results, given fiscal year 2023 results for unconsolidated entities. Now, I'll turn the call over to Tom.
Tom Lesinski: Thank you, Chan, and good afternoon, everyone. Welcome to our fourth quarter and full year 2024 earnings call. Before we begin, I want to take a moment to address the devastating wildfires that have swept Southern California. Our hearts go out to all those impacted by the tragedy—families who have lost their homes, communities facing unimaginable hardship, and the brave first responders who risked their lives to protect others. For many of us, including myself, this isn't just a news story. It's personal. Southern California is my home and home to many of our employees, partners, friends, and loved ones. We stand in solidarity with everyone affected, and we're committed to supporting recovery efforts in every way we can. While the fires have been contained, we know the road to recovery will be long. Our thoughts remain with those who are grieving, rebuilding, and finding the strength to move forward. We are here with you today and for the journey ahead. Moving on to our earnings, we're excited to share the highlights of what has been another landmark year for National CineMedia, Inc. and the cinema industry as a whole. This year's performance demonstrated the resilience of cinema advertising and the ongoing appeal of theatrical experiences for moviegoers. Let's dive into the details. The fourth quarter of 2024 was a great success for the box office, exceeding most industry expectations. The total box office for the quarter generated approximately $2.4 billion, marking a 26% increase year over year. This success was driven by a diverse slate of films, from massive tentpole releases to breakout hits. "Wicked Part One" generated $433 million in the quarter, shattering records for a November release. Disney's "Moana 2" followed closely behind with $404 million and cemented itself as a key player in the studio's animated film library, appealing to audiences both young and old. Other highlights included "Gladiator 2," "Sonic the Hedgehog 3," and "Mufasa: The Lion King," which brought in nearly $450 million combined. Thanksgiving weekend 2024 was an especially historic moment for the domestic box office. The industry brought in $420 million over the Thanksgiving weekend, breaking the previous all-time record of $315 million set in 2018. December 2024 was also exceptionally strong, featuring a wave of highly anticipated films, driving the fifth highest-grossing month since 2019. Looking at the year as a whole, the total domestic box office for 2024 reached $8.6 billion, driven by a robust second half. While the first half of 2024 was impacted by the residual effect of the 2023 industry strikes, the second half recovery underscored moviegoers' enduring passion for the cinema, culminating in the fourth quarter. Notably, approximately 80 additional movies were released that drew meaningful attendance on top of the planned slate, keeping theaters buzzing with a diverse range of content. "Inside Out 2" was the highest-grossing movie of 2024, the highest-grossing film of the year since "Finding Dory" became the highest-grossing movie of 2016. Additionally, "Deadpool and Wolverine," the second highest-grossing film of 2024, had the sixth biggest domestic opening of all time among any film and broke the record for the highest-grossing R-rated film domestically. The strength of our core audience, which is predominantly made up of Gen Z and Millennials, continues to be a key driver of our success. These groups accounted for 69% of our total viewership in the fourth quarter, cumulatively reaching over 43 million moviegoers. Gen Z, in particular, represents 38% of our audience, maintaining a strong 6.6 weekly rating throughout the quarter. Our reach with this young, highly sought-after audience compares favorably to sports programming. For example, the recent Super Bowl drew an audience with a median age of 48, with Gen Z comprising just 12% of viewers. Meanwhile, National CineMedia, Inc.'s audience has a median age of 30. Among the coveted 18 to 34-year-old demographic, 57 million individuals attended National CineMedia, Inc. theaters, averaging a 6.1 weekly rating in the fourth quarter. This demographic remains critical for advertisers, and we're proud to have captured such a significant share of their attention. In fact, seven of the top ten event programs among 18 to 34-year-olds in 2024 were theatrical releases within the National CineMedia, Inc. network. The other three were NFL football games. As we've discussed in prior quarters, we see a continued shift in how advertisers allocate their spending. Increasingly, brands are moving away from saturated streaming and video platforms and turning to cinema, which offers broader reach and greater engagement. Advertisers realize that platforms like National CineMedia, Inc. deliver a unique and powerful opportunity to connect with audiences. In the fourth quarter, we welcomed 25 new advertisers who launched major cinema campaigns for the first time since the pandemic. These brands are drawn to National CineMedia, Inc. for our ability to deliver unmatched audience engagement tied to culturally relevant content and for our proven track record of driving measurable results, including in-store traffic and online sales. Now on to our results. The fourth quarter marked the fifth consecutive quarter where our results surpassed our expectations, reflecting our strategic focus on advertising growth as the box office continues its momentum. For the fourth quarter of 2024, National CineMedia, Inc. reported revenue of $86.3 million, which slightly exceeded our revenue guide of $82 million to $86 million. Adjusted OIBDA was $35 million, well surpassing our guidance range of $28 to $30 million. Approximately 51% of the fourth quarter's national on-screen revenue was attributed to the scatter market as advertisers continue to demonstrate interest in closer-to-campaign real-time solutions. During the fourth quarter, National CineMedia, Inc. partnered with 84 unique advertisers, with retail emerging as the top advertising category for the quarter. We also saw significant growth from wireless and insurance advertisers, as well as strong performance in the travel and leisure sectors. Our fourth quarter attendance of 101 million attendees was buoyed by new titles in the movie slate, led by "Wicked Part One," "Moana 2," and "The Wild Robot." For the full year, National CineMedia, Inc. results were approximately in line with the domestic box office. Specifically, National CineMedia, Inc. reported full-year 2024 revenue of $240.8 million compared to $259.8 million in 2023 and adjusted OIBDA of $45.7 million compared to $52.7 million. Despite the industry-wide headwinds in the first half of the year, our total 2024 attendance was 390.7 million, primarily driven by the performance of key titles, including "Inside Out 2," "Wicked Part One," and "Deadpool and Wolverine." Our platinum advertising product continues to be a key growth driver. Sales have increased significantly for this top-tier inventory, with revenue more than doubling year over year. This growth was driven primarily by strength across the government, wireless, entertainment, and dining categories. Fourth-quarter platinum revenue was up 28% over the prior year period, and we're encouraged by continued demand for this premium offering by category-leading advertisers. Additionally, our standard attention ratings enable brands to push the boundaries of traditional advertising. National CineMedia, Inc. brought Xfinity's campaign for Universal's "Wicked Part One" to life in the first-ever U.S. 4DX ad, running via platinum, combining dynamic on-screen visuals with synchronized movie seats and hyper-realistic environmental effects. We ran another unique campaign with U.S. Cellular, who was looking for an out-of-the-box opportunity to help increase local awareness and sales. National CineMedia, Inc. set up U.S. Cellular-branded activations at select theaters, connecting the brand with current and prospective customers on a one-on-one basis. These campaigns highlight how advertisers can creatively engage National CineMedia, Inc.'s audience through immersive and experiential solutions. Our industry-leading data intelligence platform, NCMx, is playing an increasing role in our success. We continue to leverage NCMx to create measurable impact and value for our advertising partners, offering strategic audience insights, performance attribution, continued engagement, and cross-channel reach. In the fourth quarter, National CineMedia, Inc. successfully delivered on key performance indicators for major retail advertisers, driving thousands of incremental visits to brands featured on our screens. On average, these brands saw a 47% lift in retail foot traffic thanks to the power of National CineMedia, Inc. moviegoers. Nearly half of our sales revenue is now supported by NCMx initiatives, as advertisers continue to leverage these advanced measurement tools to optimize their campaigns and maximize ROI. As we look to 2025 as a whole, we're encouraged by the continuation of the momentum we saw in the fourth quarter, both within our business and across the cinema industry. This said, we expect some near-term variability in the first half of 2025. For the first quarter, we're expecting softer performance compared with the prior year, driven by a weaker slate and consequently a slight decline in attendance year over year. The advertising market is seasonally slower in the fourth quarter, and we are also seeing headwinds from reductions in government spending and ongoing tariff uncertainty, leading advertisers in certain categories to delay spending till later in the year. Ronnie will provide further detail on these factors. By the strong sales pacing we're already seeing for the second quarter, signaling positive momentum for the remainder of the year. Our focus remains on innovation and growth as we continue to invest in our client solutions, including programmatic and self-serve, which we expect to continue to grow in revenue in the coming years. With that, I will turn the call over to Ronnie to provide you with more details on our operating results and future outlook.
Ronnie Ng: Thank you, Tom, and good afternoon, everyone. As Tom noted, the fourth quarter marked the fifth consecutive quarter where the company's results surpassed our expectations, with both revenue and adjusted OIBDA exceeding our guidance. Despite a challenging advertising climate due to an unfavorable mix of harder-to-monetize G and PG-rated movies and an anticipated addition to the film slate, we continue to demonstrate strong execution as we focus on the monetization of our inventory and disciplined management of our business. National CineMedia, Inc. total revenue for the fourth quarter was $86.3 million, which exceeded our revenue guidance of $82 million to $86 million and is compared to the prior year's revenue of $90.9 million. National advertising revenue decreased to $69.2 million compared to $71.9 million in the fourth quarter of 2023, driven by a 22% decrease in utilization while pricing remained flat. Local and regional advertising revenue was $13.5 million, compared to $16.2 million in the fourth quarter of 2023, largely driven by reduced contract sizes across regional and local business. Total revenue for the quarter decreased 5% year over year, primarily due to the dynamics we explained when we provided guidance last quarter. The unusually high mix of harder-to-monetize G and PG-rated movies was especially impactful in December when advertising demand is typically the highest. Additionally, the prior year's success of Taylor Swift's "The Era Tour" concert film in October 2023 presented a challenging year-over-year comparison. The window between Thanksgiving and Christmas, a period that is particularly popular for advertisers, was one of the shortest we've seen. The shortening holiday season, coupled with the election, which caused advertisers to delay ad spend decisions, ultimately impacted our top line. Importantly, we see these trends as temporary, with audience mix expected to normalize and a strong film slate expected in 2025. Additionally, we are pleased with our revenue performance this quarter, especially given the sluggish start to the quarter due to the box office underperformance in October. In particular, our team continued to expand our scatter participation, which increased to 45% of the mix versus the same quarter last year of 29%, mitigating the soft upfront market. Turning to our expenses, fourth-quarter operating expenses were $66.3 million compared to $70.4 million in the prior year, primarily driven by one-time expenses related to our Chapter 11 restructuring. Additionally, increased attendance in the fourth quarter resulted in higher exhibitor fees, which were fully offset by lower personnel and overhead expenses from cost savings initiatives. Excluding one-time items, depreciation, amortization, and non-cash share-based compensation, our adjusted operating expenses for the fourth quarter of 2024 were $51.3 million, which was in line with the same period last year. Fourth-quarter adjusted OIBDA, excluding non-cash charges and one-time items, was $35 million, compared to $39.8 million in the prior year. The variation in year-over-year results was primarily driven by the unfavorable impact from harder-to-monetize G and PG-rated movies and the absence of the Taylor Swift concert film from last year. As previously mentioned, that said, our adjusted OIBDA result well exceeded our guidance range of $28 to $30 million. The outperformance was driven by lower-than-expected theater expenses and our successful cost savings initiatives. Total free cash flow for the quarter, as defined by cash flow from operations less capital expenditures, was $28.1 million, which represented an adjusted OIBDA to free cash flow conversion rate of 80%. Turning to the full year, in 2024, National CineMedia, Inc. generated $240.8 million in total revenue, compared to $259.8 million in 2023. These results were largely driven by lower attendance during the year, which ultimately resulted in higher revenue per attendee, up 4% versus the prior year. National advertising revenue was $188 million for the year, compared to $198.1 million in 2023, driven primarily by a weaker movie slate in the first half of 2024 due to the writer and actor strike in the second half of 2023. Local and regional advertising was $39.1 million in 2024, compared to $51.1 million in 2023, driven by a decrease in contract activity from small businesses, which adopted a more cautious approach to advertising stemming from rising costs. Food and beverage revenue total advertising revenue was $227.1 million, which was down 6% compared to the same period the previous year, while attendance declined 11% year over year. Average revenue derived from an ESA party's beverage agreement decreased from $18.6 million in the prior year to $13.7 million. The decrease was due to the termination of the Regal ESA in July 2023 and the coinciding discontinuation of their beverage revenue, combined with a decrease in the remaining ESA parties' attendance. Turning to our expenses, full-year 2024 operating expenses were $260.3 million, down from $440.7 million in the prior year, driven by the absence of one-time expenses related to our Chapter 11 restructuring. Including one-time items, depreciation, amortization, and non-cash share-based compensation, our adjusted operating expenses for 2024 were $195.1 million, down 6% year over year from $207.1 million. The reduction in adjusted operating expenses was primarily due to a decrease in exhibitor fees attributable to an 11% decrease in network attendance, coupled with decreases in SG&A expenses. Full-year 2024 adjusted OIBDA, excluding non-cash charges and one-time items, was $45.7 million, compared to $52.7 million in 2023, driven by the attendance loss and partially mitigated by strong scatter market performance and lower operating costs. Additionally, total free cash flow for the year of $54.5 million significantly outperformed full-year 2023 levels of negative $48.8 million due to the absence of restructuring expenses. Turning to our consolidated balance sheet, at the end of the fourth quarter, the company had $78.2 million of cash, cash equivalents, restricted cash, and marketable securities, and total debt of $10 million, which was flat year over year. Notably, on January 24, 2025, we closed on a new revolving facility with US Bank. The revolving facility reduced the cost of debt by over 200 basis points and our annual interest expense by $1 million. Accordingly, the facility is a cash flow-based credit facility, not an asset-based facility, indicating the credit market's confidence in our business and our ability to generate consistent cash flows. Upon closing of the new facility with US Bank, we repaid the entirety of our outstanding debt with CIT, meaning that as of today, we have no outstanding long-term debt. To provide an update on our $100 million share repurchase program, as of December 26, 2024, we have repurchased 2.5 million shares for $13.4 million at an average share price of $5.28. As we continue to focus on returning value to our shareholders, while we plan to continue to opportunistically repurchase shares at prevailing market prices through April 2027, we are also focused on strategically investing capital in growing our advertising network and new innovations, such as programmatic and self-serve. Turning to our outlook, as we shared earlier, we are excited about the slate for 2025 and look forward to the continued box office momentum. While the first quarter slate is expected to be slightly softer than the same period last year, leading to a slight year-over-year decline in attendance, we see this as a temporary dynamic in what we expect to shape up to be a strong year overall. With this in mind, we expect first-quarter revenue, which falls within a seasonally slower advertising period, to be between $34 million and $36 million. This not only reflects the expected reduction in impressions but also recent policy shifts relating to federal government spending and tariffs that have, in certain cases, delayed advertising spend to subsequent quarters within the year. As a result, we expect adjusted OIBDA for the first quarter of 2025 to be between negative $9.5 million and negative $7.5 million. In addition to the revenue impacts already discussed, the guidance reflects planned investments in sales and operations coupled with one-time expenses that were not incurred last year. That said, we do not see first-quarter revenue and adjusted OIBDA being indicative of our full-year results. Looking ahead, we are encouraged by the strength of our second-quarter pipeline, which is currently pacing well ahead of last year. With an improving content lineup, growing advertising demand, and the continued expansion of our client solutions, we are confident in our ability to drive strong results as the year progresses. But that said, I would like to provide some additional context on our expectations for 2025. As we continue to position National CineMedia, Inc. for long-term success, we expect our annual SG&A expenses to increase by a high single-digit percentage in 2025. The increase reflects a deliberate and strategic investment in key areas that we expect will drive sustained growth, primarily expanding our sales team, enhancing targeted marketing efforts, and strengthening our operational infrastructure to support future revenue generation. Additionally, we plan to increase our annual capital expenditures by $2 million to $3 million, which will mostly be one-time, with a majority of that related to delayed investment originally planned in 2024 and the remainder focused on upgrading our IT systems, sales technology, and research tools. These investments are highly targeted to enhance efficiency, improve scalability, and ensure we remain well-positioned to capitalize on future opportunities. Accordingly, we are making these investments with discipline and confidence, ensuring they generate meaningful value for both advertisers and our shareholders. Overall, we continue to expect 2025 to be another robust year for cinema. There are many films to be excited about as we look forward to 2025, including sequels and original content such as "Avatar: Fire and Ash," "Wicked Part Two," "Snow White," "Minecraft," "The New Mission Impossible," "Superman," "The Fantastic Four: First Step," and "How to Train Your Dragon." National CineMedia, Inc. holds a distinctive advantage with its strong connection to highly valuable audiences, and we are confident that advertisers will continue to rely on National CineMedia, Inc. and the premium audiences we deliver as the box office gains momentum in 2025 and beyond. We will be providing more detail on what we expect for 2025 at our upcoming investor day in March. Operator, please open the line for questions.
Operator: Thank you. To ask a question, you may press star then one on your touch-tone phone. If you are using a speakerphone, pick up your handset before pressing the keys. If at any time your question has been addressed and you would like to withdraw your question, please press star then two. And at this time, we'll pause momentarily to assemble our roster. And the first question will come from Patrick Sholl with Barrington Research. Please go ahead.
Patrick Sholl: Hi. Thanks for taking the question. I was wondering if you could provide a little bit more detail on what you're expecting on how temporary you expect these advertising headwinds to be, specifically if you could talk a little bit about what you're seeing in the second half of the year, especially since that was kind of the stronger period for the box office.
Tom Lesinski: Hi. Hey, Patrick. It's Tom. I think what I would say is that the pacing in the second quarter is very encouraging compared to last year. The first quarter is always kind of an odd quarter to forecast. And I think, you know, some of the exogenous things out there like the tariffs and policy shifts affected some of the commitments. But as I look at Q2, which is an important quarter and typically significantly larger than Q1, I'm looking at the pacing for Q2, which looks very good compared to the prior year. I can't really get into the second half yet, really at this point. But we're very encouraged by what's going on in Q2 right now.
Patrick Sholl: Okay. And you had talked about some of the KPI-based ad sales. I'm just wondering how that has supported advertiser retention, realizing it's pretty early in that process, but advertiser retention and efforts to increase the client base.
Tom Lesinski: What I can say in general is within our NCMx team that supports a lot of the outcome-based advertising commitments, basically, half of our business is supported through NCMx. Whether it's through a KPI or some other measurement, so it's pretty much a significant piece of what we're doing every day. So we're really encouraged by that. And we've put a lot of money and effort into it. So we're really happy with the attention we're getting from our clients.
Patrick Sholl: Okay. And then I guess the last question I had, you talked about bringing back more of the advertisers that hadn't been spending since COVID. I was kind of curious what sort of share of, like, your national advertisers are maybe still on the sidelines on cinema advertising.
Tom Lesinski: Can you say what percent of them? What was the question again? I'm sorry.
Patrick Sholl: The number of advertisers you had pre-pandemic, how many of them have yet to sort of return?
Tom Lesinski: I think we need to calculate that for you, but I don't have that off the top of our head, but we can get it to you, you know, in short order.
Patrick Sholl: Okay. Thank you. Again, if you have a question, please press star then one. Our next question will come from Mike Hickey with The Benchmark Company. Please go ahead.
Mike Hickey: Hey, Tom. Ronnie. Thanks for taking our questions here, and congratulations on a better-than-expected Q4 and 2024, especially with the headwinds on attendance. I guess that segues, Tom. You know, it looks like 2025 and 2026 film volume is going higher. Obviously, the expectation here is we should continue to see a strong recovery in attendance. But I guess the question is, what are your expectations for attendance growth in 2025, 2026? Is that sort of in line with what the market is thinking? And is higher attendance sort of the primary driver of your revenue growth, or do you see more of an opportunity today in better monetizing your existing ad inventory?
Tom Lesinski: I would say attendance is always the number one driver, and I think the quality of the attendance is probably the second driver in terms of the demographic mix. You know, the more it's geared towards PG-13, the more we can monetize it. I think as I look at all of the forecasts for 2025 and 2026, and they're actually relatively uniform across the whole base of forecasters, I'm feeling, you know, pretty much in sync with most of the big analysts and most of the big forecasters in terms of how 2025 and particularly 2026 look. So, you know, I think truthfully, this is an important year for the industry. You know, it's the first real year without a strike and post-COVID, so we're anxious to see how, you know, the movies perform and how many releases come out this year and next year. But we have a very focused sales team, you know, talking about the year all the way out through the end of this year, and the response we've gotten from advertisers in looking at the slate and looking at all the, you know, data around it is encouraging.
Mike Hickey: It makes sense. I mean, I guess, how is advertiser sentiment for your medium, Tom, sort of compared to prior years? Obviously, we knew there was some lack of product given the Hollywood strikes, and I think there was a box office that was better than we thought. We thought it was going to be down 10%. It did better than we thought, but obviously, we weren't expecting growth. We're expecting growth this year. So the slate's improving. The demo you have is obviously very attractive, I would think, for media buyers. The attribution work you're doing is certainly something you've never had before, and it looks like you're getting good feedback. On the product side, programmatic, self-serve, obviously, those are sort of industry standards, and you're in the right direction there. So I guess, how is sentiment today given all the improvements in the macro and in your business, and when do you think that'll sort of translate into the higher media buys?
Tom Lesinski: You know, I think the sentiment's really good right now. When you think about all the negative sentiment we had to deal with for the past several years, even in the first half of last year, I think we're finally in a state where there shouldn't be any surprises from an industry point of view. So I think the advertising side of the story is actually looking really good. And for the first time, we can really communicate with them looking at a schedule that's unencumbered by any of the crazy things that have impacted our industry. And I think we're really lined up nicely with all of the key capabilities that we've built over the last couple of years, particularly on the data side. So we're really encouraged. You know, every now and again, you're going to have situations where, you know, a certain industry, in the case of government spending, you know, creates a little bit of a hiccup on our forecasting, but I don't think anyone could have predicted that. In Q1. As we look to Q2 and beyond, we're really optimistic about how the industry is going to be performing against the box office.
Mike Hickey: Is that higher advertiser sentiment, Tom, does that sort of put you in a better position this year in terms of driving maybe some growth in the upfront season? I know last year, that was certainly not the case. Scatter was a larger factor. It seemed like that was more secular, but given all the movement in the market and your business, do you think you have a better shot at driving higher upfront costs?
Tom Lesinski: I think we'll do as well, you know, proportionally in the upfronts, given that our industry is doing really well compared to linear television and broadcast television. I think the question is how are people buying versus how they used to buy. I do think we'll have a better upfront than we had last year. But I think as you look at it, there's still an unusual mix between scatter and upfront where people are buying closer and closer to the actual broadcast date. But remember, like, you're right. Last year when we were doing the upfront, there were still some theatrical business. We were still coming off the strike. So this next opportunity would be one of probably the cleanest upfronts we've had since 2019.
Mike Hickey: Nice. I know premium obviously has been a very hot area of the box office, and I think you've been sort of trying to corner that market a little bit, Tom, through maybe IMAX and POS. Just sort of what are you seeing in terms of advertiser demand to get on the premium screens, and how big of a factor can that be for you in 2025 as we see?
Tom Lesinski: Well, everybody wants to be on those premium screens. Everyone wants to be on those premium screens. And it's always a topic of discussion. And as that's married to our platinum inventory in particular, it's where the biggest advertisers want to go first. So whenever we're working either with a new advertiser or someone with a particularly interesting piece of creative, they're always focused on platinum and on these large screen formats. So I think as that trend continues, which it seems to be at all the major exhibitors in terms of their investment plans and their growth, it's only going to benefit us and help us from an advertiser interest point of view.
Mike Hickey: Last question from us, Tom. On moving away from national, looking at the local regional piece of your business. Obviously, pre-pandemic, it had pretty good scale, and I think you've gone through here a restructuring process. Just what are you seeing, I guess, from your local and regional teams, the excitement there to sort of scale and grow the business in 2025 and 2026?
Tom Lesinski: So, you know, historically, local, you know, pre-COVID was a really significant part of our business. During the COVID period and during, you know, even the recovery period, we, you know, as we cut back on cost, local, I think, was impacted pretty significantly. Given what a, you know, individual sales sort of kind of business that is, we've reinvested in our sales team locally and allocated more resources to them. So we're really optimistic that local is going to have a nice comeback in 2025 and 2026.
Mike Hickey: Thank you, guys.
Tom Lesinski: You're welcome.
Operator: This concludes our question and answer session. I would like to turn the conference back over to Mr. Tom Lesinski for any closing remarks. Please go ahead, sir.
Tom Lesinski: Okay. Thank you for your questions, everyone, and your support of National CineMedia, Inc. With our unmatched scale, National CineMedia, Inc. has maintained its position as a top player in this premium video advertising space. This past year has proven that movies are thriving once again, and National CineMedia, Inc. is consistently connecting advertisers with high-value audiences, attracting both new and loyal brands to our platform every quarter. Further, we believe National CineMedia, Inc. is well-positioned for the future with strong growth catalysts, a fortified balance sheet, positive cash flow, and an opportunistic share repurchase program. As we look forward to 2025, we are energized by our momentum and eagerly anticipate the opportunities that await us in this year ahead. So as a final reminder, National CineMedia, Inc. will be hosting its 2025 Investor Day in New York City on Thursday, March 13th, at 3 o'clock. We're excited for you to hear more about our strategy, innovation, and performance from myself, Ronnie, and other members of our talented management team. So finally, I want to thank our National CineMedia, Inc. team as always for their hard work and dedication, and thank you to our shareholders for their support as well. See you at the movies.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.